Operator: Ladies and gentlemen, good morning or good afternoon. Welcome to the Roche’s Half Year Results 2018 Conference Call. I am the chorus call operator. I would like to remind you that all participants will be in listen-only mode and the conference is being recorded. After the presentation, there will be a Q&A session. [Operator Instructions] The conference must not be recorded for publication or broadcast. At this time, it’s my pleasure to hand over to Mr. Severin Schwan, Chief Executive Officer of Roche Group. Please go ahead, sir.
Severin Schwan: Good afternoon, everybody. Welcome to our briefing on the Roche half year results. You’ve seen that we presented a strong set of numbers this morning. Sales up 7% overall, 7% in pharma, very much driven by the newly launched medicines, also solid results in diagnostics, with 6% up, again very much driven by our immunodiagnostics business. We continue to grow in the mid-single digits this year, but you see very different dynamics from a regional perspective. We see very strong growth in the United States, again driven by our new product introductions. On the other hand, in Europe, a decline as expected due to the entry of biosimilars, MabThera in particular is affected. Again, to put it into context, the share of more recently launched medicines is increasing rapidly. We see for the first six months of this year that the new medicines contributed for a growth of 1.5 billion and this was offset by the more material products, primarily MabThera, also starting with Herceptin of 400 million and of course overall that leads to the strong growth we could present this morning. It’s not only about the new launches, it’s also about the portfolio, which is ramping up very nicely. We have now 16 new molecular entities in late stage and it’s not only about the numbers, it’s also about the quality of this portfolio and you see we stand now at 22 breakthrough therapy designations, four alone in the first half of this year. Margins remained strong, in fact, for the first half of this year, we could even slightly increase margins. Earnings per share at 19%. That of course is also very much driven by the benefits from the US tax reform. If we exclude those, we would still grow at 8%, that is slightly ahead of sales. Again, that’s really what it is about, it is about rejuvenating our portfolio whilst we have biosimilars entering to, on the one hand, replace our existing businesses, not only in oncology, very much so actually in ophthalmology, where we have interesting opportunities that are coming through, also in flu with new medicine, we have partnered, which you know, and then of course, in addition to that, we’re entering new franchises. And just one number here, I mean, there is no doubt that this was the highlight of the first half. Ocrevus strong growing and we are hit now, CHF1 billion for the first six months. This is actually the most successful launch in the history of Roche. Now, let me conclude with the outlook for the full year and again point out the strength of this late stage portfolio. There are now 16 new molecular entities in our late stage pipeline. This is a new record for Roche and this is really in combination with the successfully launched new medicines. This is what gives us the confidence to grow our business, not only for this year, but beyond the current year. This year, we expect the dynamics to continue for the full year, that is mid-single digit for sales, core EPS broadly in line with sales. And if we exclude the US tax reform, we would expect to grow EPS in the mid-teens and on that basis, also be able to further increase our dividend in Swiss francs. Thank you very much. And with this, I hand over to Dan.
Dan O’Day: So good afternoon and good morning from my side as well. It has been a very strong first half year for the pharma business at Roche and really three different areas that I’d like to emphasize. One is we're really actively managing the entirety of the business as we go through this transition from the standpoint of the top line by performing extremely well on the new launch products. The portfolio is also performing very well. On the bottom line, we're really managing the transformation of the organization from the standpoint of doing everything throughout organization to look for ways to get our medicines to the market faster. And at the same time, getting productivity and efficiencies out of our business. And then finally, the third highlight for the quarter, well, actually for the half year is, really shaping the future of how R&D and patient care will evolve with our digitization strategy within pharma, which really involves some strategic transactions, relative to Flatiron, FMI and medicines like entrectinib that will fill out our portfolio. So how does that all play out in the numbers? I mean, a very strong 7% growth for the half year. You can see how strong the new products are performing in the United States, with a 15% growth and this is really driven by Ocrevus, Perjeta, Alecensa, Hemlibra, all frankly exceeding our expectations in terms of their launches and we expect that to continue. In Europe, you can see, as expected, the impacts of the biosimilars and it really is according to our plans and at the same time, just really starting in the second quarter, so just before the half year, we're seeing now very good uptake in a few markets that are fast launchers in Europe, like Germany, Switzerland and others with our new medicines, Ocrevus, Hemlibra and others, starting to offset a bit of that biosimilar decline. Japan, despite some of the price declines there, strong growth with its strategic products, very good launch of some of the new medicines like Tecentriq, Hemlibra and also in the international region, we see good growth, certainly many countries around the world are contributing here, but in particular, I want to point out China where we achieved reimbursement for Avastin, MabThera and Herceptin at the end of last year and we're seeing that now pull through and that is also indicative of, I think, the ability for China to be able to launch and seek reimbursement for newer oncology medicines in a much faster period of time than we have in the past. When I talk about active management, I think the P&L is a great place to point that out with the figures here. So on top of that 7% sales line, we have a significant gain in the royalties and other operating income for the first half of the year. I do want to point out that we had some divestments of around 144 million on that side in the first half of the year. We don't expect those divestments to repeat themselves in the second half of the year. So we expect certainly a moderation on that line as we go into the second half of the year. On the cost of sales line, I really want to point to, of course, in the cost of sales line, we also have some outgoing royalties on some of our newly launched products like Ocrevus, but I point your attention to the COGS and period cost line, because as you know we've been for years now and we're going to continue our lean management production program. So I'm very pleased to see that based upon the new product margins, based upon the lean management of that line, based upon management of inventory, we have a COGS and period cost of 3% and I would point out that as really to be compared to an overall volume growth for the division of 11%. So some very, very strong output there and bodes well for the future in terms of our ability to manage the transition with biosimilars, with active management of the cost of sales line overall. M&D efficiencies that we're seeking throughout our network allows us to launch these new medicines, put the appropriate power behind them to get the types of launches we're getting and yet do it much more efficiently. R&D, the strength of the portfolio coming through in the Phase 3, has never been stronger. We want to invest in that area, but invest in a productive way and then G&A growing very much in line leads to a very strong core operating profit growth for the first half of the year of 11% on 7% sales growth. And of course here is the core of our business, which is the success of the new product launches, really more than outweighing the decline that we see in biosimilars. So very strong growth, as you see predominantly first in the US with some emerging growth in Europe on some of the newly launched products. I’m going to speak about -- most of these are just two products I want to comment on this chart that I won't speak about later that is Lucentis at 16% growth, very strong performance. As you know – as you remember, we launched our prefilled syringe in the beginning of this year. It's a competitive advantage. We're seeing market share gains in every line of therapy for Lucentis. And that's really a good news story that we expect to continue that type of momentum as we go into the second half of the year. And then the other product that I don't have a special slide on right now is Hemlibra and a really strong launch in the United States. Only after two quarters in the US and where we've launched in Europe, we’re at above 20% share. Remember, this is the smaller portion of the market, around 5% of the total hemophilia market, but it's important to see that uptake, to see that experience with hemophilia physicians and patients, having a very good experience with it, bodes well as we go into the second half of the year, preparing for the non-inhibitor launch with Hemlibra. The oncology franchise overall, growing well. You can see the Herceptin franchise growing at 7%. I'll get into that later. Avastin, just to comment, it's a bit of a tale of two stories. We've had some price pressure in France for instance, which has affected our first half year sales. We do see some effect of some of the cancer immunotherapies in the lung setting in the United States and yet on the other side, we have very strong growth in some of the emerging markets, and particularly China as I mentioned before and we added yet the 10th indication for Avastin in ovarian cancer in the first half of the year. Tecentriq, 37% growth, we see growing now with the launches outside the United States in the later line lung cancer settings and in bladder cancer. And then as we've seen in previous quarters, the evolution of the HER market with Tarceva declining and also the melanoma market having more options for Cotellic and Zelbora. Of course, we're looking forward to some of the triple combinations with our Cotellic, Zelbora and Tecentriq, which we expect to see a bit later this year. HER2 franchise, I mean, really a strong success story with the uptake of Perjeta in the United States and the adjuvant and expanding of that neoadjuvant setting, 36% growth, a very good label in Europe was approved in the second quarter and we're now beginning to launch that, good signals in the early countries that are launching and you can see the number of guidelines that are pointing to the standard of care shifting in the early breast cancer center, areas to be able to provide more women with a chance for a cure and that includes the NCCN guidelines, the ASCO in Europe and particularly, the St. Gallen and the AGO guidelines are important as well. We've seen some -- just the very beginning of Herceptin biosimilar impact in Europe. That will come now in the second half of the year as expected and as in our plans and Kadcyla, 11%, driving outside the US growth. So continued uptake of Perjeta in the United States, where it’s just really beginning that introduction in the adjuvant setting and obviously the beginning now of that approach in Europe, we're looking forward to seeing that develop over the coming quarters. On the hematology franchise, clearly, we're entering this rejuvenation phase. So, of course, we see, as expected, the erosion in biosimilar volume. We're seeing Gazyva growth, growing with 38% in the inland setting, really some strong data on Venclexta, of course, in the 17p deletion, but now, we have the approval and the general relapse refractory CLL setting, which we're looking forward to working with our colleagues and happy to bring throughout the many markets around the world. And very good news on the accelerated filing for a large unmet medical need in AML. So, we continue to see uptake of Gazyva, as we go into the second half of the year and we'll see the Phase 3 results from the CLL 14 in more detail. We expect to see the EU approval of the Venclexta plus Rituxan and very importantly, we will be working with the FDA on the accelerated filing for polatuzumab in the relapsed refractory DLBCL setting, which is where we've also seen some efficacy with the CART cells, we think we have a very, very competitive offering in that segment and in that area. Alecensa, I mean, you may have seen the data at ASCO. I hope you did with the -- close to three-year data suggesting that patients do not progress on the disease for three years with Alecensa as compared to 10 months with crizotinib, really astonishing data, I mean, some of the strongest data we've seen in the metastatic setting in cancer and that's been reflected now after just a couple of quarters, we have US new patients share around 60%, in fact, our market share in the US in the first line setting is around 60% and a really strong launch in Europe. So we will continue to see this momentum, as we change the standard of care for first line lung cancer patients without positive mutations. The immunology franchise, more than 8 billion annualized now, back to double digit growth with our major drivers of course with the exception of MabThera, Rituxan, but you can see Esbriet growing now at 15%. We continue to be the market share leader, growing into the mild and moderate segment. After a rather weak first quarter, we see Xolair rebounding to 14% after some supply issues with the deal you meant, but that has been resolved and we're back to good growth there and Actemra continued double digit growth with the auto injector being approved now in Europe. So we do expect this franchise to continue to have very strong growth into the future. Without a doubt, the highlight I would say of the first half of the year is the Ocrevus launch now, more than 1 billion at half year, after just four quarters of launch in the US and really just beginning in Europe. We're at a 2 billion annualized rate already in a market that's more than 20 billion, at a 10% share after four quarters, very, very importantly, one out of every three patients that are new or that switch therapy in the MS base are growing on Ocrevus. So we have around a 30% new and switching share, which bodes well for the future with good return rates, commensurate with other medicines in the field, so really strong, we’re in now up to 50,000 patients treated. That's important for the size of the database and the competence, and very good launches as I mentioned before, looking like the same trajectory that we've seen in the US and Germany and Europe. All of this leads to, I think a picture that gives us confidence in our ability to be able to grow through the upcoming biosimilar erosions, which we have no illusions for. We know it will be a strong erosion and this is why we have that confidence is because that if you look at the new products launched in the past several years, we're now in a 9 billion annualized rate. So it accounts for 96% of our sales growth. And of course, these medicines are not fully launched in their markets. We have line extensions, significant line extensions that will continue to grow these markets with and we have new medicines that will come to the market, hopefully Baloxavir at the end of this year, next year could see Polatuzumab and entrectinib as well. So good solid half year results on the top and bottom line. I just picked out a couple of things on the innovation side that I thought you might be interested in. Again, I think the HAVEN 3 study was really indicative of the type of benefit we bring to patients in the non-inhibitor area, the largest segment of the hemophilia markets and I really point your attention to the data that was presented at Glasgow around the switching of patients from well-controlled prophylaxis Factor VIII to Hemlibra once a week subcutaneous and this is 68% reduction in bleeds. I also point your attention to – as a part of the study, patients were asked about their preference of Hemlibra over Factor VIII. You know the importance of patients’ preference in this area of hemophilia, 98% of patients in this trial preferred Hemlibra over Factor VIII prophylaxis. This combined with the HAVEN 4 study that shows that we can get to doses as in frequent as once a month with subcutaneous has the true profiles to transform the care of Hemophilia patients in a non-inhibitor setting and we look forward to working with the FDA, first, to get this approval in the second half of the year and to bring this to patients in the United States and then next year in Europe and beyond. Certainly been a busy quarter, a busy half year for our cancer immunotherapy portfolio in general. My first slide focuses on lung cancer, I’ll be talking about other cancers on other slides. A wave of positive readouts. I think it's important when you look at this slide to also put into context that we play in every aspect of first line lung cancer, whether that's with our targeted medicines, like Alecensa, Tarceva, whether it's with Avastin, which has been a standard of care and proves to be a standard care in combination with Tecentriq in the future or whether it's with Tecentriq and of course we still have studies to read out. You remember from the first quarter, the 150 trial data and in particular the PFS and OS at the interim, overall, but importantly also in a subset of patients, the more difficult to treat frontline lung cancer patients with genetic mutations and alterations or whether cancer has spread to the liver. And then in addition, I would like to highlight the data that we have yet to completely expose you to, but what we articulated, the IMpower130 data, that's with the Abraxane bone, smaller percentage of patients, but we pointed out both PFS and OS with that data. We also informed you that we had PFS and OS with small cell lung cancer as well. And of course rounding that out, we'll be presenting more data on the 132 and 131 as we go into the second half of this year as well. So all of this data will be put into context, as we come up to World Lung and to ESMO. Now the outside of lung cancer, we really had some very strong results in our Phase 1B hepatocellular carcinoma in the front line setting in combination with chemotherapy and Avastin. And what you see here is a very good early signal of response rate and discussions with the FDA. They also saw the interest in this data and granted breakthrough therapy designation. It's our intention to work as quickly as possible to continue to extend this Phase 1B trial, supported with other studies, but then also look to bring this treatment regimen to patients in what is a very devastating disease as quickly as possible and we hope we can do that already in discussions with the agency in the coming months to look at an accelerated possible filing of this medicine. And then the last slide I have on Tecentriq is something where we haven't seen an effect in the front line setting yet with cancer immunotherapies and that is the IMpassion130 trial, so that is Tecentriq plus chemotherapy in a frontline setting. We reported out PFS with met, a very encouraging OS benefit at the interim. This study will continue, but we look forward to presenting this data to you coming up most likely at ESMO. And you see the entirety of our program, we have many more trials to read out, including two more in 2019 with Tecentriq backbones and we have a targeted therapy with ipatasertib in triple negative breast cancer in first line diagnostic positive patients that we will continue to pursue. So for an area that has not had a lot of innovation over the past many years, we're excited to be making some advancements in this area. Shifting from cancer immunotherapy to our CNS pipeline, very encouraging data. Our SMN2 splicing modifier for SMA. This is early data from Phase 2/3 studies and we believe that what we're seeing here is potentially best in class data and I point your attention in particular to the fact that 94% of patients treated for minimum of four minutes had at least a four points improvement on the CHOP-INTEND score. This, for other medicines in this field, has been superior to what we've seen at this stage with other medicines and looks very similar to what we saw with gene therapy I remind you this is a small molecule, so it's an oral medicine and we look forward to continuing to progress this study to see how it ends up and how it works out. Likewise, we presented some data just today at the AAIC in Chicago on two Alzheimer’s disease programs. We've been encouraged over the past days, both by our own data, but also data outside of the company relative to ongoing evidence on the strength of the anti-amyloid hypothesis. We’re very much in a leadership position here with two medicines, Crenezumab and Gantenerumab, as you can see, covering different parts of the evolution of plaque development, very pleased to say that we just announced this week that we have full recruitment on both trials on Crenezumab and we are now recruiting our two studies for Gantenerumab. And I just point your attention to the data that was presented that is extension data from the Phase 2 that shows for both medicines that we are reducing significantly plaque as we look at these patients in Phase 2 extension over time and I would also just point out for instance that the dose levels that you're looking at with this data, anti-amyloid reduction are at doses that are far less than what we're taking in to Phase 3. And then finally, just the other day, we announced some very exciting news on the port delivery system in ophthalmology. This is a new product, a new entity. It has patent protection for both the device and the formulation of Lucentis that goes into the device. And very exciting data to see that this device, that is about the size of a piece of planted in the eye with a reservoir that you can fill with a new concentration of Lucentis achieved a 15-month median time to first refill, more than 80% of patients had a greater than six month time to visit refill and we're seeing the side effect profile of this, it’s very well tolerated and seems to be a real game changer in this field and we can see that the letter gain is basically equivalent than what we saw to well, well controlled Lucentis patients and as we know, patients because of the intervening nature of this procedure are certainly not compliant in this area. So this provides very encouraging news for us. We've already started the activities associated with the Phase 3 program and we expect to have first patients in the second half of this year. On the outlook, I would just point your attention to some important events, coming up for the Roche pipeline in the second half of this year. As I mentioned, both World Lung in Toronto in September and ESMO in Munich will be important data readouts for the breadth of data around both our cancer immunotherapy program and on targeted medicines. I would also point your attention, if you are interested in more information on your Lucentis port delivery system through our virtual pipeline event and then we've also made a decision, as you know, in trying to be agile and get information to you when you need it. We're going to have a virtual pipeline events that we obviously don't have time to get into with these quarterly results on September 13 and I'll be joined with colleagues from the pharma division that will help us get deeper into the portfolio, give you insight into how this portfolio is developing. And then finally, it’s been a very, very strong quarter overall for the pipeline readouts, too many for me to remember. Let me just remind you that the approvals, we had the APHINITY trial in Europe. We had Venclexta plus Rituxan in the US and relapsed refractory CLL. We had Avastin in ovarian cancer. For our filings, we had IMpower150, we had HAVEN 3 and 4, we had baloxavir, we had Venclexta in the unfit AML. For phase 3 readouts, we had IMpower130 and 132, IMblaze370, IMpower133 and IMpassion 130 and not on this slide even, but just to raise your attention in the first half of the year, of course, we had the bispecific antibody for ophthalmology. We had Polatuzumab and entrectinib and in our CNS portfolio, our SMA, our [indiscernible] had interesting data to pursue and to follow. So busy time at Roche. Thanks for your attention. And with that, I would turn it over to Roland Diggelmann for the diagnostics.
Roland Diggelmann: Good afternoon, good morning also from my side. I'm happy to present that diagnostics results. It's been a very good second quarter, it's been a good first half year for the diagnostics division, 6% growth on the top line across the division, driven by centralized and point of care solutions. So the largest segment, which is leading off here with 6%. Overall, the lab diagnostics business, growing very well at 7%. In total, that is centralized molecular and tissue diagnostics and diabetes care with a 1% growth. Good growth in the United States, but also on the heels of a weaker first half in 2017. But generally and overall, we see very good continued momentum in the lab business and we expect to carry that forward in the second half. And the same picture, similar picture also on the geographic distribution, all regions growing with the exclusion of Japan off of a very small base. We expected that, that is largely HCV testing with the adjuvant of the direct acting antivirals. For the rest of the regions, very good growth, led again by Asia Pacific with 14%, China was 16% and a very good second quarter. Also other emerging markets that I'd like to point out, Mexico, Turkey, Russia, all growing above 20% and then also, the United States, North America growing 7%, both with good molecular grows and the central lab doing very, very well as well. Some of the growth drivers in a bit more detail. As mentioned, the centralized and points of care, system work area business doing very well, immunodiagnostics continues to do well, 9% growth, Clinical Chemistry, 5% growth. So the integrated core lap at the core of our strategy continues to do very well. In Diabetes Care, on the traditional blood glucose monitoring, a 1% growth. This is also due to the introduction of the new meters, the guide and the instant meters was a good reception and an increasing testing volumes in diabetes. On molecular, virology up 4%, very much driven by HIV and here it’s the global access program and then a really outstanding HPV growth with 30%. This has a lot to do with us winning the majority of the screening for -- primary screening for HPV in Australia. And then you see, conversely point of care molecular, we were able to benefit from very strong flu seasons in the United States and across the Northern Hemisphere with over 200% growth. And finally, tissue diagnostics, advanced staining, growing 12%, primary staining, growing 16% even. Let me switch to the P&L here, what you see is a sales of 6%, flat operating -- core operating profit development, which is largely to do with two elements here that I’d like to point out in a bit more detail, which is royalties and licensing. And on the other hand, high spending rate on R&D. Royalties and other operating income expected, we knew that our PCR licenses income would decline and then there's a one-off income from a license settlement from 2017 that we knew that wouldn’t repeat in 2018. Cost of sales, on their sales growth, largely a lot of volume growth here, investing in the future, investing in instruments, into the markets. M&D also growing below sales line and in R&D, this is also coming off a very moderate growth in the first half of 2017 where R&D grew actually only by 1%, some investment in late stage in particular, larger systems, Cobas Pro, which I'll talk about and then also in some digital platforms and sequencing. And finally G&A, up 4%. We also have some one-time effects here with the medical device excise tax credit in ’17. So overall the G&A line pretty well under control as well. I should also point out that we expect the core operating profit to increase for the full year 2018. I briefly touched on the Cobas Pro, which is a medium throughput SWA solution that we're back to launch in the second half, a very important part of our portfolio. We have introduced the e 801, which will be one component here for the very high throughput solution and we're continuing to build this portfolio in a very modular fashion, seamlessly integrating into the integrated core lab and really, really focusing on everything that has to do with simplification of laboratory work, many features such as improved maintenance, higher on board stability of reagents and others that will be found in this system and we're very confident that we’ll continue to capture share also in the medium throughput segment. Also investing in a leading reagent portfolio. Here, what you can see is a very exciting breakthrough device designation that we just received from the FDA for Alzheimer testing. This is a cerebral spinal fluid test, the first of its kind, which measures, actually it's two test, pTau and beta amyloid and with that actually providing broader testing availability for laboratories as opposed to the current standard of diagnosis, which is PET. We have a concordance claim with PET, which is very exciting and we're looking for a progression claim as well to literally identify patients at a high risk of disease progression and really being able to generate quantitative results over time here with this test. Also expanding on more of the test menu on molecular, what you see here is the main menu that we intend to complete for 2018. So I’m going to look on 2019 of additional menu coming on to infectious disease and this is of course combined with a further growing of the installed base, where it’s about 500 instruments in the market, the highest throughput in the segment of course, the highest walk away time for the lab, so again looking at efficiencies in the laboratories, automation and ease of use. And then finally on the portfolio, we are launching the Accu-Chek Solo micropump, so-called patch pump, which is a new approach in taking discrete in two pre insulin pump therapy, making this again, putting this in the hands of the people and the patients with diabetes and really enabling them to manage the disease. User friendliness is very high here on the list and at the same time, convenience in terms of the modular design being able to detach and reattach the pump and maintaining some other features from the fixed and the durable pumps, such as the bolus buttons and bolus insulin delivery. This will also continue to help us to move into digital and the entire management of the disease with connection across other solutions to better manage actually the disease to this pump through other means and features. We're introducing this in the CE mark countries with a controlled lunch in Europe for the remainder of the year, further launches in ’19 and then also filing for FDA in the United States approval in the future. So it's been a very busy first half, many achievements along the instrument and device segments and I mentioned cobas pro, which is the largest one, which is still coming for the second half of the year, also new tests and assays introduced across infectious disease virology and not the least, also some further developments in software and decision support with our NAVIFY Tumor Board solution, which is also now able to integrate EMR data and which will continuously evolve across with the collaboration that we had with GE to also integrate imaging information. This is my last slide. I'm just pointing out a couple of events that we are staging this year, notably next week at the AACC, at the largest convention in Chicago. We’ll have a specialist analyst event and then later in the year November, our Roche Diagnostics Investor Day in Rotkreuz, in Switzerland in our premises. And with that, thank you for your attention. Happy to hand over to Alan Hippe.
Alan Hippe: Yeah. Welcome to everybody. My pleasure here to present really an excellent set of numbers here. Couple of highlights at the beginning. I think all said, sales growth up 7%, core operating profit up by 10%. I will dig a little bit into that, a great momentum operationally, a little bit off in effect, which Dan has already mentioned in the first half has come back to the core EPS, towards plus 19% and certainly boosted by the impact of the US tax reform when you exclude that, it would have gotten to 8%. Cash flow, I think great story on cash flow. I think that really has developed quite nicely in the first half and it is really emerging in the net debt development, which is 2.5 billion lower versus the end of June 2017, despite the fact that we had quite an outflow for acquisitions and I will explain that on a later slide. Net financial result, quite beneficial and that leads to the IFRS net income, up 33% due to business growth on one hand and lower impairment of intangible assets on the other hand. So here, you see the full set. Sales to core operating profits, one effect I will dig into, good business, quantity income as said, boosted by the US tax reform as the core EPS, despite 8% IFRS net income, very much driven by the business, but at the same time, also driven by lower impairments in the first half of 2018. And then you really see the operating free cash flow with 8 billion in the first half of 2018 and the free cash flow at the level of 6 billion. Let me go through the P&L here and I think my colleagues have done a great deal already to explain that. I won't go through the sales line. When you look at royalties and other operating income, you see really an increase of 19%, up to 1.4 billion. And what we have in here is really some impacts from divestment, so divestment gains that we have had in the first half. We won’t see these effects in the second half. So basically, we're getting back to the previous year level, a level that we have had at the end of 2017 on the royalties and other operating income line. And cost of sales, up 8% but here are two different elements to mention. One is really here, the COGS and the period costs, which went up by roughly 4%. And so, as described, I think a lot of good momentum here when it comes through to lean management and efficiencies. And the other point to mention here certainly is that this means that the gross profit margin increased from 80.1% to 80.5%. So the gross profit margin improved in the first half of 2018. And then really, I think what comes on top is the royalty expenses and certainly royalty expenses are driven by Ocrevus, which I think is a very positive thing. And that was roughly 180 million on top here. And as you’ve heard already, also from Dan, we have a couple of royalty expenses going away in the future. So we feel pretty comfortable about margins. And M&D, I think very solid, very disciplined development. Same applies to R&D. And then you have G&A with plus 5%, which is in absolute terms, 55 million, very much driven by legal costs and the acquisitions, which leads to a core operating profit growth of 10%. When you look at the margins, overall, group at 39.7%, pharma did a great job, increasing the margin and the diagnostics division, as Roland explained, with lower royalty income in the first half of 2018 but with good momentum in the second half. And core net financial result, relatively small basis here, so an improvement of roughly 30 million, which represents a 7% improvement. And you see really the boss here. One is about equity securities, we held a stake in Avexis, so we benefited from that. Interest expenses was plus 16 million. That’s something which might turn in the second half. When you look really at currency gains and losses, more hygiene here than a couple of smaller things in all other net. Yeah. Tax rate. Tax rate, I would say a pretty clean development here, because the whole impact here is basically the US tax reform, which represents decrease here to 20.1% and that gave us positive year like in the P&L, roughly 400 million, so very much fitting to the guidance that we have given to you, I think, even the low 20s is reflected well here. And as you know, from an accounting point of view, the half year basically represents also what you expect for the full year. So I think we'll be on a good level here. And the non-core items. That explains the boost that we have seen on the IFRS net income, but let me start with the core operating profit in the first line here, which went up by 1 billion. Then, we had the restructuring plans and the restructuring plans in the first half of 2018 basically represent cash out. Then, you have the amortization of intangible and the impairment of intangible assets and this is definitely lower than in the first half of 2017. And then smaller sings on the lines of business combinations and legal and environmental. So the total non-core operating items improved by 1 billion, if you’d like from a profit point of view. So the IFRS operating profit went up 2 billion, which then leads to an IFRS net income increase of 33% in constant currencies. So let me talk about cash and that's really a strong story. So really first half 2018, 8 billion of operating free cash flow. So quite a significant number, driven by both divisions, you see really a significant number in pharma, you see quite a nice increase in the diagnostics division. And when you put all that together and you look at the major impacts, where's it coming from and you see that in the first green bar, basically, by the underlying business, networking capital movement is nothing, which is really concerning, 200 million really from receivables and as we had significant sales growth in the first half, you can imagine that everything converted into cash already. So that's one element here. Another element is the receivables, as the payables. Then, we have the investment in PP&E and investment in intangible assets, very comparable to what has happened last year. So that leads to strong operating cash flow of 8 billion. And what does that mean to net debt? And let me start on the right hand side with a dark blue bar, the minus 11.7 billion. That's the net debt position at the end of June, 2018. And when you compare that with the level at half year 2017 of 14.2 billion, we have an improvement of 2.5 billion, but what is so remarkable here is that we have had in the first half 2018, really an outflow for acquisitions of 3.2 billion and we were really able to overcompensate that, I think that shows really how strong the cash flow generation is at the moment, but really when you compare it to the net debt level end of December 2017 of 7 billion, you find then on the left hand side of the slide, then the operating free cash flow was 8 billion, then outflows for taxes and Treasury and then you really see the dividend, which is certainly the bulk of the 10.7 billion in this rose bar and then you see with the business combinations. So strong picture here, certainly net debt to total assets were now at a level of 15%. So that's the range where we want to be in. I think for the full year, we are expecting a level of net debt on total assets of around 10% and even taking already foundation medicine in account, a transaction which is not closed yet. Balance sheet. Just a couple of remarks. When you look at the left hand side, cash and marketable securities went down from 12 billion to 9 billion, cash outflow of the acquisitions. The other current assets went up 5 billion receivables. And non-current assets went up quite a bit and this is on one hand, goodwill, and on the other hand, intangible assets from the acquisitions. Current liabilities went up a little bit at short term debt. The non-current liabilities went down. These are the pension liabilities, which have reduced due to increases in the discount rate and then you really see the equity position and the equity ratio, which is now at 39%. Outlook, let me talk a little bit about currencies and it’s a pretty simple environment for us at the moment I can say. And what's really quite interesting is when you look at the left hand side and really at the June bars, for Swiss franc and US dollar or Swiss franc on euro and then you see really that a stronger euro basically compensated for a negative impact from the US dollar in the first half. So that's the story, for the first half, and then assuming that all these currency rates end of June remain stable until the end of the year, which is very hypothetical admittedly, but what it would mean is that the impact from the US dollar which has been negative goes basically down to zero and for the euro, it means, yes, that is positive plus 9% would reduce to a plus 5% and what that means in total is basically nothing happens. Still, we have a compensating effect, as we had at half year. We would have the same compensating effect at full year and you see that on the right hand side in the table, what that would mean in the P&L for sales, core operating profit and full core EPS. And with that, coming back to the guidance here, as I’ve said, I think the guidance I think is very possible. When you look really what's happening with our development on the full year when it comes to the royalty income and the other operating income, nevertheless, very happy that we come up here with an increased guidance. Thanks a lot for your attention.
Severin Schwan: Alan, thank you very much. And with this, we come to the Q&A session. [Operator Instructions]
Operator: [Operator Instructions] The first question from the phone comes from the line of Sachin Jain from Bank of America Merrill Lynch.
Sachin Jain: Couple of financial and a couple of product questions please. Especially on the financial, the commitment to grow into next year, that you’ve outlined, Severin, does that include growing pharma EBIT consistently from the higher 18 base? And if so, if you could just give us some color as to what US biosimilar erosion is assumed within that? Secondly on margins, implied within the ’18 guidance. Obviously, sales guidance has been upgraded through the year, from the bottom end being stable to now being mid-single digits, although it seems that margin guidance is roughly unchanged to flat. So just wanted to understand why the additional sales does not have some margin benefits? And then product questions, Crenezumab, you mentioned Dan you’re encouraged by the Biogen data? And then secondly, at the higher dose, you have seen roughly a 40% improvement in CDR. If, and obviously it’s a big if, if that was repeated in the phase 3, would you hit the interim analysis next year or should we wait for data in 2020 at the final analysis?
Severin Schwan: Okay. Let me start off with the question on the guidance and the outlook beyond current year. First of all, indeed, we expect to grow the business into next year and that of course, first of all, relates to the sales forecast. We do believe that with the good momentum we have with the new product launches that this will overcompensate for the biosimilar erosion. Biosimilars of course will increasingly enter in Europe now as the addition of Herceptin to be expected to have an impact already in the second half of this year. And as far as the US is concerned, we expect the first biosimilars in the US as well. So this takes consideration of the biosimilar erosion, both in Europe and also to be expected in the US next year. Now as far as the operating profit is concerned, you know that we are losing the income from the capability patters as we go forward. Now on a gross base, this is slightly above 800 million, I think 830 million. Now actually, there are also related expenses to that. So on a net base, we're talking about an impact of 600 million, which we have to digest and I'm confident that we can make that up with productivity improvements. I would like to be more specific at this point in time, but overall with the good dynamics we see with the new product introductions and I should also say with the encouraging readouts and the progress in our pipeline, certainly our ambition is to make up for the royalty decline. Right. As far as the margin development is concerned, in the first half of the year, you have seen increasing margins in pharma actually. We did see a decline in the margins in diagnostics, so we had a stable operating profit with an increasing top line. Now, that is primarily a base effect, both on the royalties and also relatively strong R&D expenditures. So in fact, for the full year, we expect operating profits to grow beyond sales. So that should shift as we go forward. As an offset however, on the royalties and other operating income, which we have seen at a relatively high level in the first half of this year, we expect that to decline and washout for the full year. So that will be back about the same level of that operating income and royalties as we have seen in 2017. And with this, Dan, over to the product question.
Dan O’Day: Thanks for the Crenezumab question. Just important to point out some priority on the data that we just presented at AAIC. So as you rightly point out, we showed and again this was the ongoing Phase 2 trials at a point out in time, we showed a 43% reduction in a-beta levels and what precursors to plaque of course. And I just want to point out within mild and moderate patients, that was actually at a much lower dose than we're taking into Phase 3. So the Phase 3 dose is roughly four times the dose that you see here in this report for me. I see the two trials that have been recruited, I wouldn't want to speculate on the interim versus the full year, these are two year trials. Now, they are fully recruited, I mean they are two years for a reason and to give us the best chance of showing cognitive improvement, which as we know from previous studies in mild to moderate patients, take some time to develop and we would want to give ourselves the best chance there. We'll take a look at the data in ’19, but the study is powered to seek a result in 2020.
Sachin Jain: Dan, just a clarification of data I was referring to, it wasn’t AAIC data, it was those modeling data at the higher dose range, 40% reduction in CDR. And so, I was referring to that. So any comment on that level of reduction versus the interim? Thanks.
Dan O’Day: Okay. You’re referring to, yeah, the dose escalation that we did previously. No, I mean, I’m not really – Sachin, I think what I would say is that the dose we selected was the dose that we thought was going to be optimal to show an effect and still, as you know with Crenezumab, the safety profile at those levels has so far proven to be quite well, but I wouldn’t want to necessarily project ahead now to say from that phase 2 extension data, there's a lot of triangulation that needs to be done, but I think it’s a well-concentrated trial and we'll see how it plays out.
Operator: Your next question comes from Luisa Hector with Exane.
Luisa Hector: I just wondered if there's any more to say on the dividend, given the strength of your earnings growth this year. So your statement is that you saw the increased dividend, could you achieve more than the 1% growth that you've seen in the last couple of years? And on Herceptin and Rituxan in the US, how much did price contribute to the growth that you saw in the second quarter? And then on Lucentis, could you comment on any stocking impact in Q2, quantify that? And I just wanted to check on the port delivery situation in ex-US, did the rights still lie with Novartis there? Thank you.
Severin Schwan: On the dividend side, as usual, this will only be decided by the proposal or the dividend increase will only be decided by the board towards the end, beginning of next year. So I wouldn't be able to be more specific at this point in time. Dan, on Herceptin?
Dan O’Day: Right. So Herceptin, Rituxan, I think your question was around pricing impacts. So, first of all, with Perjeta, I mean, it's really volume growth overall. 36% Perjeta growth in the US. With Herceptin, 11% growth. The growth was driven really by three factors. One, lower sales reserves. Two, longer duration. We know we're getting longer duration of Herceptin, particularly, yes, on the adjuvant setting, but also the extension between the new adjuvant and the full year of therapy and then some pricing impact also in Herceptin figure in the totality of it, but largely driven for the HER2 franchise, Perjeta and Herceptin by volume. And then Lucentis, no, we didn't see any stockpiling of the prefilled syringe. I think that's really -- there's not excess inventory in the trade by any means. That's true pull through. And of course, there's always talking in the physician's office, but nothing unusual that we would see there. And then yes, the answer to your question, Novartis does have opt-in rights to the port delivery system ex-US.
Operator: The next question comes from Jack Scannell from UBS.
Jack Scannell: Got two questions. The first relates to different intellectual property strategies relating to biosimilars in the US and Europe. So if we look at Herceptin biosimilars in the US, I think you’re about 40 patents, which is still being wrangled about, whereas in Europe, it appears that there are none. And I just wonder, is this -- how much of this is the difference within your strategy versus for example the US, it will get patents for versus the way the courts deal with patents. And then the second question relates to the Tecentriq trials. I mean, I think huge amount of excitement on lung this year, but there is a bunch of other stuff going on, it’s like choosing field children, but if you have to point to one of the non-lung Tecentriq indications you are particularly interested in, which one would it be?
Severin Schwan: Okay. I’m interested in choice then. As far as IP is concerned, I wouldn't be able to give you a detailed answer on that, but there is nothing changing in the dynamics of timelines in our expectations. So the delays we have seen for biosimilars was really driven by a regulatory action, so that some of our competitors couldn't enter as early as we would have expected. And I'm not aware of any specifics, which would make us change our assumptions here. So we do expect Herceptin to enter now in Europe and we do expect biosimilar to enter in to US next year.
Roland Diggelmann: I think Severin captured it well. Just to avoid any misunderstanding out there, we do have patent landscapes in both the US and Europe on Herceptin, MabThera and Avastin and where appropriate, we are defending those accordingly, and in some cases in Europe, now with both MabThera and with Herceptin, some of our fundamental patent landscape has delayed some entrants. Having said that, exactly as Severin said, I mean, we expect a full entry on Herceptin with multiple competitors now in the second half of this year. So that's on target and to your point in the US, I mean, we'll continue to defend those patents, but having said that, we expect entry of MabThera and Herceptin next year in the US. That’s all baked into our plans and baked into our assertions about the future. Tecentriq, yeah, Jack, you make me try to pick one of my children and let me see here. I have to say that, what I would say is the following. I think what's been shown now across multiple different tumor types is that Avastin plus Tecentriq does play a role in enhancing on top of what you would get with Tecentriq alone or Tecentriq plus chemotherapy combination. So we've seen that now in renal cell carcinoma, we've seen that in lung cancer and we've seen in hepatocellular carcinoma. So I’m excited about the variety of things outside of lung. I would point your attention to triple negative breast. I think that's going to be an interesting one coming up here. And certainly although early data on hepatocellular also seems to be very encouraging, but I wouldn't rule out, sorry, I know you’ve been missing, but I wouldn't rule out the role that we’ll play on renal cell carcinoma, particularly in the third group of patients as well. So I failed sorry on picking one. But it gives you a little bit of a sense in to my mind.
Operator: The next question from the phone comes from Tim Race from Deutsche Bank.
Tim Race: So I have only got a couple of questions. So just on Lucentis, should you be looking at growth products going forward. You’re previously said it’s tempered our expectations for the products, and now, it’s outperformance. So should we actually look at Lucentis going forward because of this on the growth product for you? And then I suppose generally just a question on your Tecentriq platform going forward, you’ve spent a lot of money on building in a next generation oncology products with Tecentriq backbone. Obviously, datas coming out relative to competitors PD1, PDL1, et cetera. Are you considering doing more studies with other people’s PD1s as the backbone or do you see that there is a difference between PD1 and [indiscernible]
Severin Schwan: Thanks, Tim. So, well, clearly, Lucentis was a growth product in the first half of the year. I can confirm that. And you're right, I think we kind of underestimated the competitive dynamics of the prefilled syringes and a few other things that are going on out there in the market. So what I would say is that to be candid with you as well that we do expect the competition to also have a prefilled syringe in the beginning of next year. And as we've seen in this market, you can have an advantage for a period of time and then you can move back to equilibrium and in Lucentis, we’re back to equilibrium. So I don't think I'm ready yet to kind of guide on 2019 with Lucentis. Clearly, it will be a growth product for us in 2018. And because of the very clear competition, our desire, but our desire is to really move the entire field and this is where we are -- the two shots on goal, both port delivery and the bispecific anybody. We think we’ll be able to get out of this tit for tat over time and that's what we're looking forward to. Tecentriq, yeah, I think no doubt that with Tecentriq, the data continues to unfold. There's no doubt that we have six out of seven positive trials. Your question about backbone agent, is it a valid one? I think it's one we're not -- we don't have all the data to be able to answer, but what I would say is that clearly Tecentriq is a backbone agent in cancer immunotherapy broadly. And there may be some indications in some disease states where there could be different backbones developed. And I think to your point about the future, clearly, we feel confident that the next generation cancer immunotherapies that we are pairing with our Tecentriq based upon the body of data we have now in the results that that is the right decision, it’s a right strategy to pair them with Tecentriq. We will be data driven, if something changes our opinion, as we progress with this. We will certainly consider and look at that -- look at that. So I would just leave it at that. I would point out because there's also the concept of looking at the bispecific antibodies, we've got two bispecific antibodies that you'll see at ASH this year. One from [indiscernible] blood tumors and we’ve got to see those in different combinations. So I think you'll begin to see also how the new agents play on a backbone of Tecentriq with and without Tecentriq.
Operator: The next question from the phone comes from [indiscernible].
Unidentified Analyst: I've got three please. So on biosimilars, I was just wondering if you could give any color on the price for Herceptin in Europe, just the initial launch and is it similar to what you saw with Rituxan. And then secondly on restructuring, there was 427 million just going to restructuring charges in 1H. Can I just confirm, I think, you mentioned that it was mostly cash and secondly, should we consider a similar amount for the second half of the year, as you continue the productivity improvements? And then lastly on, conversations with physicians suggest that infection rates are one of the key concerns for this device. Now, I was wondering if you can give any color around them and when we should expect the Phase 3 results in AMD. And lastly, do you need a separate study for DME or will one suffice for both indications?
Severin Schwan: Do you want to start off, Dan?
Dan O’Day: Sure. Let me start with the biosimilars. So, as you know, I mean with MabThera, where we had the greatest body of data now, we continue to have a 75 volume effect and a 25 price effect and that’s now after close to a year of experience and data, which you're actually, you need some history to be able to put those numbers. So, it's a bit premature to answer your question on Herceptin, because we've just -- there isn't enough lunch yet and so we don't exactly know where the price points will come in. I'll certainly inform you on that as we go throughout the coming quarters, but suffice it to say I certainly expect it to be generally similar, generally greater volume and price as we proceed here. And I would just point out again, the opportunity of the Herceptin biosimilar to point out that the subcutaneous has proven to be quite durable, on the MabThera side. In fact, we really haven't lost a lot of subcutaneous on the MabThera side. We know that at some point in time, there is a price point where we could see that conversion. Now, the dynamics with Herceptin are different. On the one hand, we have a higher subcutaneous share. On the other hand, we have more entrants and more competitors and therefore, in our modeling, we're expecting basically a similar type of erosion than we have with MabThera, which I think is the right approach to take. On the latter trial, yes, thinking about the rate of -- you wanted to handle the restructuring first, give me a minute to look at.
Roland Diggelmann: Yeah. First of all, our question was about restructuring charges, 427 million in the first half. Yes. I think that's predominantly cash. We had no major writedowns of assets in there. So I think that's a fair assumption. Always hard to tell and how is that moving forward, I think experience tells us, yes, there will be additional charges in the second half, but I have to admit I think it's hard for me to say what the exact number will look like and that's why I pump back a little bit to the past. So there will be charges, I think, that's normal and that's what you see in most of all the second half of the last year and as productivity is really on our mind, I think it has shown well in the P&L. And as we drives these programs further, certainly, I think there will be a certain style, but as said, I think it's hard for me to predict what the exact number will be.
Dan O’Day: Sorry, Rebecca. I don’t have the answer that -- there's really -- there's no increase in infection comparable to placebo in Lucentis between the port delivery and Lucentis. So this is – now, with the experience with the surgeons with inserting the device, it's really a very manageable operation for the patients. Yes. We will need additional studies on DME is my understanding.
Operator: Your next question comes from Richard Vosser from JPMorgan.
Richard Vosser: First question on Perjeta please, just thinking about the European uptake in terms of the adjuvant indication, could you give us an idea of your -- how the negotiations around price and reimbursement are progressing and whether you’d expect an acceleration, similar to the US? Second question just on Hemlibra, obviously you pointed in the presentation to the HAVEN 3 data, which was pretty good. Could you talk about the reaction you're receiving from the KOLs, as you can see them marketing for inhibitors, what do they think of the non-inhibitor data and also could you give us an update on your negotiations to attract a furnishing fee potentially for Hemlibra? And then final question, just on the US environment. I think we've seen some counter price rises in the second half of the year, certainly for the industry and potentially on your behalf as well. So how do you expect pricing to pan out going forward and also with regard to the Part fee reforms, how do you see those impacting potentially 2019, particularly with regard to ophthalmology and do you expect to benefit in 2019 from the 340B reforms.
Dan O’Day: So let me just correct something I said before. I think we may not need an additional study for DME with the latter studies, I apologize, I think I misspoke before. So Richard going to your question, Perjeta, the reaction has been I think very positive, given both the broad label that we received in Europe and initial discussions with health authorities, HGAs, I should say on the pricing. So it's very much in line with what we expected, very routine in European countries that when you would expand the patient population, when you have the strong data that we have, when you have the label we have, those discussions, we expect will go very much in line with our expectations and we're already having good uptake in Germany. So no surprises with Perjeta in Europe. In fact, we would expect the dynamics to be similar in terms of uptake, once it’s reimbursed in the countries in Europe as well. HAVEN 3 and Hemlibra, yes. Of course, I already announced a very good news that this will be Medicare Part B drug versus Medicare Part D drug. That was confirmed by CMS, not the least of what was confirmed because of the very strong ICER report and results. And I think that's extremely important, the most important thing relative to potential impact on patients’ out of pocket costs. The furnishing fee is something that we continue to dialog with CMS on and there has been some movement there. We think that it's in the range that will be acceptable to the hemophilia centers and we continue to work on CMS with the final publication of that furnishing fee. Yeah. And then we would go to US pricing environment. A couple of things on that that I think are important to put in to perspective from the Roche business side. I mean, the first one is that, as you know at Roche and Genentech, we have taken a very thoughtful approach to how we price our medicines. In fact, the last seven medicines that we priced in the United States were priced less than comparative products that we showed improvements on in our late stage trials and you might say, why? The reason for that is that we -- it's important that we balance access with rapid uptake in the US and for a variety of these markets like MS where we launched our medicine 25% below the comparative product or Hemlibra where we launched the product 50% below in the inhibitor segment, this has proven I think to be a very, a thoughtful strategy from the standpoint of areas where pricing was -- we didn't think was sustainable in some of those markets. And secondly it’s allowed us to have favorable recommendations from insurers and providers out there and certainly being a contributor towards the past uptake. So I think this is important. We want to be a part of the solution of some of the healthcare concerns in the United States and that's why we've taken that particular approach. I would also point out that, as with all administrations, we've been working very closely with this administration on the blueprint initiative that was published a couple of months ago. And we have given comments on things like Part B reform where we see a need for Part B reform. We've given comments on 340B. We've been giving comments on value based pricing. So this is all work in progress. I don't want to speculate further about how some of these things might play out, but given, I think, where we’ve priced our medicines, the value they bring, in some cases, the personalized healthcare approach, we think we're in a good position to help craft and shape kind of the future of reimbursement in the United States as well and we're certainly a part of that dialog.
Operator: The next question comes from [indiscernible].
Unidentified Analyst: Just a couple if I may. Firstly, following on from the earlier question on restructuring, I guess, as the costs last year were much, such closures, and this year, they’re much more to do with employee costs and the cash costs, are we seeing a mix away from manufacturing restructuring towards R&D and marketing? I wondered if you could talk a little of that, how you see that over the next couple of years, you’re getting to a position where you’re mostly efficient, but continuing to work around the edges, or was there a major project still to come? And the second is a simple question, [Technical Difficulty]
Dan O’Day: So sterile water in the US is no longer impacting our products in the United States. We did have an issue out of some supply out of Puerto Rico in the first half of this year. It never had a patient level impact and it's been resolved. Yeah, on the restructuring side, I mean I think the spirit of this is to -- given the external changes, things like faceless development that's going on with regulatory authorities around the world, given the internal changes, changes in our product mix, therapeutic carriers, customer bases, using personalized healthcare strategy and data to be more efficient out there, it's really touching all parts of our business. So whether it's a lean program in manufacturing, which is really focused on COGS or whether it's looking at how we can make faster, better decisions in our research and development organizations and/or following that through to have line of sight to our activities and the customer base, I mean, it is in the spirit of really being more customer focused, more patient centric focus and in that process by the way, we're getting efficiencies and productivity across the organization. Your question was, know how will that play out over time? I mean I still think in many areas, we're in a process of going through this kind of thoughtful process. So it will continue to both aid us and bring medicines to patients faster in the coming years and also contribute to our productivity. I think that’s what I’d like to say. It's really a very holistic program, looking at the business and finding the best way to evolve it, given the outside and inside changes.
Severin Schwan: And to add on that, as far as manufacturing is concerned, it is true that we have had major shift in our capacity, it’s really had over capacity in small molecules and at the same and this led to the closure of a number of sites or the sale of sites respectively and related restructuring costs, but at the same time, they were building up capacities for biologics to meet the growing volume demand on the biologic side and it's kind of, if you like, broad restructuring on the capacity side is now moving more into an optimization of our existing footprint and that is also reflected in the nature of the restructuring costs, if you like.
Operator: The next question comes from Steve Scala from Cowen.
Steve Scala: I have a couple of questions on IMpower132, based on your knowledge of the findings of this study, which of course is greater than our knowledge, what can you tell us about how it compares to keynote 189 on PFS. So for instance, are you confident that it is fully competitive with keynote 189? And secondly Roche has said that the OS readout will be in 2019. Presumably, Roche knows that complexion of the Kaplan Meier curve to date, would you advise us not, so advise us not to strongly consider a scenario where the readout could be at an interim in 2018. So those are the two question.
Roland Diggelmann: Thanks, Steve. Either World Lung or ESMO, you're going to get all the data on 132. It's really difficult to disclose anything at this stage. But, let's be clear, I mean at a similar point in time, in the readout of 189, we have OS not yet mature, where OS was mature in the 189 data. So I don't want to create any large expectations around here. I think we're going to find areas in cancer immunotherapy like I've always said where we have positive readouts, but we may not be as competitive and other areas where we have positive readouts and are very, very competitive. And I think that's going to change by treatment regimen, by disease and so we're really looking forward to showing you the entirety of the data, not just on 132, but the entirety of the data in the September-October timeframe that we have in our house so far.
Operator: Gentlemen, that was our last question.
Severin Schwan: Okay. Do we have any questions from the web? No? This is not the case. I thank you very much for your interest in Roche and wish you a good day. Thank you very much.
Operator: Ladies and gentlemen, the conference is now over. Thank you for choosing chorus call and thank you for participating in the conference. You may now disconnect your lines. Good bye.